Jake Bouma: Good morning, everyone. Welcome, and thank you for joining the inaugural Atlas Engineered Products Earnings Call. My name is Jake Bouma, IR Consultant for AEP. Today on the line discussing AEP's Q2 2024 financial results and company highlights will be CEO, Hadi Abassi; CFO, Melissa MacRae; and Director, Paul Andreola. Following the discussion, we will open up the call for a Q&A. Before handing over the call to Hadi, please note that information we present today could contain forward-looking information that is based on management's expectations, estimates and projections. Please consider the risk factors, including those in the filings made by Atlas on SEDAR when reviewing this information. Also, all amounts discussed will be in Canadian dollars unless otherwise noted. Hadi, take it away.
Hadi Abassi: Thank you, Jake. Hello, everybody, and welcome to Atlas Engineered Products inaugural conference call for reporting our Q2 of 2024 earnings. I want to - just before I start, I want to thank you all for being on this call and being a shareholder and being a huge supporter of AEP and our dream there. And I appreciate every one of you. I was trying to prepare for today's meeting and I was looking at our industry for all over 35-years of me being in this business in construction and supply business. It's been an amazing, interesting last few years. And that we started with the COVID, and then after the COVID - the challenges we had with the COVID, and then the 2022 challenges with the housing demand and the supply shortage demand and all the breakdown and all the business we went through and the housing prices and all the crazy stuff. Then immediately after 2022 was over, we had the sharpest increase in interest rate at forever, I think, that all of a sudden we went from 0% to 5%, and it created a major slowdown in our industry. And yes, it was needed for the inflation and all the price increases, everything. However, all of those unprecedented events created a huge challenge for us that we were not just waking up every morning and going and selling trusses and floors and walls, manufacturing it and shipping it. We had to deal - with a lot of extra challenges that they were out of our control. But I am absolutely proud of our team, that how we learn to deal with the challenges and manage the business we had in hand and what we can control. And as you can see, in the last few years, what we have done, we have created a very, very healthy balance sheet. We have consolidated our industry through the M&A. And we have an amazing - we have amazed a huge portfolio of real estate for future growth in our business and we're moving forward. And then looking at the future, right now, the future is pretty bright for us. We have a huge shortage of housing, over millions of shortage of housing. They predict anywhere from 3.5 million to 5 million shortage of housing. And the deficit doesn't go down, it goes up. For example, last year, I think we only had 240,000 houses built. So the future on that area, it looks bright. There is the other one is that there is an indication with the market that the interest rate is going the other way and the interest rate is going down. And that is positive. However, change doesn't happen in the real estate overnight. There is an adjustment period for the real estate to sink in. And that is another huge positive sign for us. And hence, at AEP, we are ready for the opportunity that we see comes at the horizon. And out of that, we did a capital raise a while ago. And we have a very, very healthy balance sheet. And we have taken initiative on setting up robotic plants in three of our major provinces and our busiest areas in the country. And after that, the second phase, we will have robotic plants on most of the areas. We have all factories. And we have paid the deposit. And we are full board ahead to making the robotics happen. So we will have all the facilities done by end of next year. Actually, those three facilities. I apologize. So based on the bright future, we are taking huge initiative of making that happen. And still, every day, we are working very, very hard in a very challenging environment to create the revenue and create a healthy margin and create a profit - for a healthy profit and a healthy balance sheet for our shareholders. And right now, I would like to hand it over to Melissa MacRae, our CFO to go over the financial result. And after that, we have the analyst on call here. And then we will open up the floor for the analyst to ask any question they'd like to have. Thank you. And go ahead, Melissa.
Melissa MacRae: Thank you. Welcome, everybody. I'm pleased to present some key information on our Q2 financial performance. Just a high-level overview. Revenues, pleased to say $15.2 million for quarter two, $24.2 for year-to-date. This is representing a 34% and a 16% year-over-year increase. Gross profit, we hit $4.4 million for quarter two and almost $5.9 million for year-to-date. Q2 represents a 31% increase over the comparative period, while gross margins for quarter two were a healthy 29%. This represents a significant increase over our quarter one margins, which were at 16%. I do want to provide some context into margin variation and revenues a little bit here. Typically, quarter one is our lowest margins, with quarter two improving. This year was even a bigger difference. So, as everyone knows, we purchased LCF last year, which is located in northern New Brunswick. They have a building season that's significantly more condensed than even our Ontario locations. Then the swing in performance between winter and summer is more dramatic. The difference in revenues at this location from quarter one, which were about $1.75 million to quarter two, which was about $4.9 million is typical from their historical performance. During this condensed construction season, this location typically runs at capacity. Impacting profits and margins, though, is the need to keep key labors and designers employed year-round or risk losing staff that make an important contribution during the peak construction period. This is why we are actually looking at implementing robotics at this location, helping them to improve their summer capacity, which will allow for them to push for new customers that do work during the winter, but also have summer sales. It was difficult to - these customers are looking for us to provide them year-round support, and the robotics allowing us to increase that capacity gives us that year-round support, which in turn leads to increased winter sales, helping to improve performance during those months. Our adjusted EBITDA of $3.1 million for quarter two represents a 50% increase from the comparative period, led by the increase in revenues. This is a high-level overview. I'm happy to answer any further questions as we move on here, and you can find more of our results on SEDAR or on our website in our Financial Statements and Management' Discussions and Analysis document. I'd like to open up the call for questions. Operator, please provide appropriate instructions.
Operator: Thank you, Melissa. So, at this time, we'll be conducting a question-and-answer session for our analysts. So, please raise your hand if you have a question, and we will address each analyst in order. And if there's any outstanding questions at the end of this call, the Company will be happy to take them by email. So, the email address will be info@atlasaep.ca. Again, info@atlasaep.ca. [Operator Instructions]
David Ocampo: Thanks. Good morning, everyone.
Operator: Good morning, David. This is David from Cormark Securities.
David Ocampo: Yeh, thanks. Thanks, Operator. I appreciate the commentary in the MD&A and the press release just on the conditions in 2024 being tougher because of the interest rate environment. And it's no surprise that organic growth, if we look at that, has been negative for the last few quarters or so. And that makes sense. But I am curious, there's a lot of moving parts within the revenue line item, whether it relates to materials and pricing. But just wanted to drill into the volume environment that you're seeing in 2024, whether that's by board feed or plant utilization. So, commentary on that would be appreciated.
Hadi Abassi: Okay, Dave, thank you for that question. Number one, it's actually quite interesting because of lumber pricing has such an effect on our top line revenue sometimes. And right now, the lumber being as cheap as it is, it's not a true reflection of our total revenue and total growth year-over-year. But in terms of the board foot measure, we do measure that in different plants and operations we have. And, for example, in BC, there has been a major slowdown. Like, although the starts are up, but still there's been a major slowdown on the housing. And people apply for permits and they have everything ready, but it doesn't mean they have dug the ground. So, there has been a slowdown of that and there has been a lower board foot production. However, we've had amazing organic growth based on finding out what the market is and, okay, the new construction is slow in the housing. We got really aggressive and we have gone across the country and through BC branch and we are supplying a lot of apartment blocks that they are built for rental. And they use engineered wood products. And because of our buying power at the moment, we're buying mill direct. So, we compensated the volume by selling the engineered wood product at a healthy margin. So, the board foot manufacturing in the factory is down, but the actual revenue we kept it steady in BC because of the organic growth we had and presented on the engineered wood product there. And out of it, we have learned that right now, once the market turns, not only we are a major force in the engineered wood products for the apartments and a bigger project. We are still have that major force in the housing market too there and we have learned from it there too. But in general, all across the country, although the start for year-over-year been up about 10%, but the actual start, there is a misconception in the industry. What is the start when you apply for permit? It's totally different to the time in when a bulldozer goes on a job site and they dig a foundation. And that's the one, there is some uncertainty going on there. And of course, right now, the Bank of Canada indicate the interest rate is going down. Now, all the bargain hunters, they're going to wait before they buy anything to do say, how low the interest rates going to go up. That's why even in the last couple of weeks, the application for mortgage or the last month, the application for mortgage has gone up quite a bit up and most people are applying for a wearable margin. So it's a little bit of adjustment and a sitting on the fence time right now, but it's when to jump. But I'm looking forward because I've been in this business for a long time and I know there is some way you wake up in the morning and there is panic setting there because everybody jumping off the board all of a sudden to that.
David Ocampo: That's helpful there, Hadi. And then maybe my next one's just on the wall panel business. I think you guys announced some awards this year and it does take customers quite a bit of time to adopt those products. But I guess when you're looking at your quoting activity, how much of that is now for "the entire package" versus just roof trusses? Have you noticed a big shift in how your customers are requesting business from you guys?
Hadi Abassi: Yes, we have noticed a big shift and we have noticed that they are way more receptive and they're asking way more questions about it and they want prices. However, our product is not an easy thing that you can look at a computer and say, okay, this plan and if we take a five minute and then this is your price. We are given a lot of score footage, approximate budget to the clients and then it's the same. They are going through a period of doing cost analysis and doing everything because we are a little bit slower right now. So there are more subtrades available. So they are cost comparison and to see whether this makes sense, these questions or everything like that. There are some projects we do in that certain areas like New Brunswick or even in Michigan, in USA and certain areas in D.C. that we are - we have chosen and we do a wall panel. There are customers who are ready and they know the cost difference, everything. Plus, their project is based on timeline. So they don't have the time to wait for the subtrades to show up, frame show up everything, they needed done yesterday. And they have done the calculation versus how much money you're going to save. Even if you're paying $10,000 more or 2% more for the wall panel, what you save into finishing the project and turning your cash over and turning your lock up over, it costs more money. So it's like everything else. Our industry is changing and it's all due to the labor changes and the labor shortage and the demand and the increasing demand. But we are getting educated. We are getting educated to supplying the product and the clients are getting educated into running their projects and buying the product. So we are going through that growth period at this moment. And one area you have to be careful, like you can go and pick up all you can get through the growth period, but growth period is that you don't have all the knowledge. So although we have increased our wall panel business significantly more in our book, significantly more this year, in the eyes of investors or other people, nothing's ever fast enough. They wanted it to get done yesterday or some of my staff. But in my opinion, when you're doing an $800,000, $1 million project, one small mistake because of what you're learning period, it could cost you thousands of dollars. And we do not want to do that. Plus, you cause a bad taste in the client's mouth. So, we're going through that experience of learning as we go along. But we are learning very, very fast and we're becoming sophisticated about it. And that is the future. A few months ago, politicians talked about it and they forgot about it. But really, truly, that is the solution. Three component manufacturing to the construction. That is the only way we can answer it. And that is three years, four years away. And we are, you will see from now on, every move we've made, like we did in New Brunswick, we were interested in the wall panel manufacturing, and the whole production facility. That was amazing. But what is amazing, we have over 13 acres of property and warehouses. Everything we do now, we need land, we need warehouses, everything. And more robotic, because that is the future. Free component manufacturing. And that's all we are trying to do. Set up our footprint in the country, set up our sales force, our design force, everything to meet the demand in three years, five years. Because that is where our industry is moving forward. That is the future.
David Ocampo: Great. And if I can sneak one last one in, just on robotics and the future. I think I saw a press release a couple weeks ago just from House of Design that they're now beginning to offer robotics as a service. That's a new term for me. But is that something that you guys could pursue, to expedite your robotics initiative, whether that's expanding it to your existing facilities, or when you do acquire a business, rolling out robotics there?
Hadi Abassi: Dave, to be quite honest, I'm probably the first and biggest and the only client they have in Canada. And I haven't figured out yet, what they're talking about. Because sometimes just, because it's like some of the politicians, they wake up in the morning and they say something that they mean something. And at the end, what will happen, what they find out is for companies in Canada that we are part of it. But there are a lot of companies that the owners are older and the initial investment, like we just did. We have the power. We just didn't - we have a great following the market and we just need the capital raise. They can't. In order for you to do it, you have to go borrow millions of dollars from the bank at the business interest rate. And it's not just the robot you buy. You have to change your whole factory. You have to change your whole building, your environment. And so, there are a lot of investment involved that the smaller companies in the country that, consist of majority of the trust manufacturing plant in the country are in that place. So and then, they look at the return on investment. So they're trying to do work, some magic around that. So basically, all they're going to do. They will make a deal with the lease company that run by a private equity firm, and they will lease you the product like the machinery. Like it's always been like that in our industry. You can borrow the money from the bank at 5%. You go lease it and you pay 14%, 18%. At the end, it's not free. You're going to pay for it. But then as an owner, they look and say okay, I'm 60, 65, 70 years old. Do I want to spend another $20 million that there are a couple of companies in the country come up, and one of them is AEP and then take those companies on? So, it's quite an interesting time in our industry at the moment. Times are changing right now. There's a lot of thinking and lots of overthinking, and lots of planning. How do we move forward?
David Ocampo: That was a very helpful color there, Hadi. I'll hand the line over to - and hop back in the queue. Thank you so much.
Hadi Abassi: Thank you, Dave. God bless you.
Operator: Thank you, David. So the next question is from Russell Stanley from Beacon Security. And Russell, your microphone has been unmuted. You can go ahead.
Hadi Abassi: Steve, he's still muted.
Russell Stanley: Can you hear me now?
Hadi Abassi: Yes.
Russell Stanley: Apologies for that. Congrats on the results and appreciate you hosting a conference call. Hadi, you mentioned the U.S. market a little earlier, and that following up on that contract when you announced back in May around some projects in Michigan, just wanted to dive in a bit deeper on that, and just see what you can say around the U.S. market, how much of a priority it is for penetration, and how you're approaching those potential customers, how competitive that market is for you?
Hadi Abassi: Thank you, Russell. So basically, every M&A we have done, and if you look at it, we have an eye on close to the border, close to that line, and then moving into U.S., because we consider that as one of our markets. And - we have a great technology and we seem to be pretty good at doing what we do. And the U.S. clients like our service, and like the way we manufacture our products for them and stuff there. So - the moment we saw that, and of course, the thing about it is we need to be ready for it. We need to be ready to deliver and - design and deliver. So, we started that after the COVID. We started going back into one of our best markets, is in Michigan and those areas. And then we are gaining ground there. And right now, the next level we are working on is, like Melissa mentioned, with LCF, we are overcapacity. We are busy there and we can't just expand it, because we let our clients down. So now by robotic, gives us a chance by having a robotic facility, and expanding our manufacturing facilities, we are looking at, because we have an office and a place actually close to the border to Maine in Edmonton. And we're going to start expanding to Maine. And then from D.C., we're going to expand from Michigan and then go to New York and everything. So really, once we look at Canada, then we look at the boundaries with U.S. We look at it as part of our market and we train and we develop in more of our salesforce to cover that area for us. And one thing we do, we are not going to put all our eggs in basket for U.S., and all our eggs in one basket in Canada. We're just going to treat it as, it's just part of our business and we're going to cover it. And then and - slowly, slowly, we increase our manufacturing facilities. We're going to do that in Clinton with fully robotic facility that is over and above what we have in Ontario, and any other area we do it. And train our salesforce, train our design department, train our manufacturers to just expand our market. So when you look at it at the end of it, then our market is not Canada white. It's Canada white and all around the U.S. border. Then after that, once we get a good, healthy market share, then we figure out what to do with M&A in United States or whatever. But at the moment, we just look at it for market. And on a steady, proper growth, we just set up our facilities and then, we keep growing and growing. And that's what we are looking at. And the U.S. market is great for us. And the other thing is, is because of the price of the wood and the dollar change, everything. So it's always been a pretty good market for us.
Russell Stanley: That's great. Thanks on that color. And you brought up M&A in the U.S. And just wondering, given the investments you're making in automation and they're underway, wondering how your acquisition criteria now compare to what they were a year ago. You highlighted the U.S. as a geographic option, but just wondering what else, what other criteria you're looking at? And has that changed at all?
Hadi Abassi: Well - since the automation and the implementing of robotics stuff there, is that has added another exciting element to every M&A we look at in terms of the geography, the demand, the land, the capacity and everything there. And we have a - right now, if we go phase-by-phase, we have a few more location and a few more opportunities in Canada. We still growing in Canada. We have not finished. You never finish. But we have not finalized the first phase of our M&A in the country, in Canada yet. First, we are concentrating huge on the M&A and the expansion in Canada. And of course, not by robotics. Then it's added a huge element for us. So in the past, if we wanted to get a factory here and then another plant, we need two hours or 150 miles. Now we look at getting one, and then having a major robotic and then have an outreach of 12-hours drive. Because you can do that with the cost saving, we get from robotics and ours, then you can manufacture more in 24 hours. It's not an eight hour or a 16 hour plant anymore. It's a 24 hour robotic manufacturing. So it's really a, I guess I could say it every time you think you learned it. Like in all my years in business, and all of the management and all of the team we have everything. Every time we think - we know everything in our industry with the robotic, there is an area open that is you don't know that you don't know area. And that's where the possibilities are magical. And we are working on that. At the end of it, though, we are concentrating on our country in Canada and we ship. We're going to be shipping significant amount of products to U.S. Now, if there is something comes up from United States that is great. It's an amazing deal, because we only pay 3x, 3.5x to 4x EBITDA here, if something comes in that range, and it scares you at your face that all the boxes take, and there is - this is the best deal out there. We will take a jump at it, because at the end, my job is to always deliver the best value for the shareholders and for the company. And if something like that comes up, trust me, we will look at it. But right now, we still have a lot of growth to do in Canada, have a lot of opportunities and a lot of growth in Canada. Canada is going to be exciting market for our industry within the next five years, because of they say it's three million housing shortage, it's five million. And it keeps adding up to it, and all the politicians talking about it. But they haven't done anything, because there is a change. It could be a change of government, or it could be something else. But future is very bright in Canada for the housing and construction. We have a lot of room to grow in this country, especially we adding the organic growth of the wall panel, and the floor cassettes, everything. That is where the most amazing times are happening for the manufacturing facilities.
Russell Stanley: That's great color. Thanks very much. I'll hop back in the queue.
Hadi Abassi: Thank you, Russell.
Operator: Thanks, Hadi. Thanks, Russell. And so, the last question is from Andrew Semple, Ventum Capital Markets. Andrew, I'll enable your microphone and then you may unmute yourself momentarily.
Andrew Semple: Thank you. Good morning to those on the West Coast. First of all, congrats on your first public earnings call. We appreciate the additional opportunity for transparency and disclosure. And my first question here would just be on engineered wood product sales. That was a product category that was exceptionally strong this quarter. I believe it's a new quarterly record, within this product category. You mentioned earlier that you went out to bid for apartment projects, and that helped with engineered wood product sales. I was also wondering if maybe there had been some progress on revenue synergies with LCF, given this was a product category you're hoping to expand, on those - some of those East Coast markets. Could you maybe expand on that? Perhaps tell us where things stand on achieving revenue synergies, with the LCF acquisition and engineered wood product sales specifically?
Hadi Abassi: Yes, absolutely. Thank you, Andrew. So, even though LCF facility in New Brunswick is absolutely some area that we really learned a lot from seasonality of the winter. And you don't panic for one quarter, like our business is a marathon business. It's a four quarter in a season business, and it's a long-term plan. But they actually - we were worried a bit, because of the capacity of picking up a new client. But if you notice, or Melissa has the number, during the wintertime, we actually did a good number through LCF. And that was because of our engineered wood product and some of the multi-families we did in certain areas in New Brunswick. Because some of those five story, six story apartment blocks, they do not in certain areas, they do not use roof trusses or floor trusses. They use engineered wood for flat roof. So, we ventured into that market, and we did a significant volume in there. However, you need to walk before you run. And it was new for them and we haven't had LCF at that time for one year. And they were learning from it, and they need to get confidence into design, the sales force and the delivery part. But right now, they are looking at it and then we are looking at expanding that market for the next year. And that's one significant area for us there. And even for all of us here, because for years, you always become a truss manufacturer and that's always been. You wake up, you eat, breathe and you manufacture roof trusses and floor trusses. But right now, all of a sudden we see and say, oh my God, we are actually a major supplier engineered wood product and engineered beams. And all of those products, we are becoming major in the country in that too there. And now, it's up to us how we're going to cash into that opportunity. And then, we are working on that too there, to become a force in that area. But sometimes, you know, business Andrew is what you get used to for years and years. It doesn't change overnight. Like it will take time. I remember when I first started selling engineered wood product around - in the year 2005 or something. It was a nightmare trying to talk - contractor to not use 2x10 and 2x12 and go with the engineered wood product. It's an amazing product. It's cheaper or the same price and it's great for the environment. But it took years before you could change their mind. Now, nobody thinks the other way. So it will take time, but we see a huge opportunity in that product for us. And we have to just keep pursuing it, right now to get there.
Andrew Semple: Great. Sounds like you had some good first steps, but still plenty of room to run, which is great to hear.
Hadi Abassi: Absolute. Absolutely. Sorry, this one thing we always forget to. We've been doing this for a long, long time. But with consolidation and M&As and everything, this has just been five, six years. We're still babies at it. We are learning, but we are fast learners too. And then - the last few M&As we have had, they have been very, very successful. We added the organic growth and we are getting bigger and people are taking notice of us. So it is all baby steps. But I am amazed at the area of you don't know, you don't know how much we are learning and how much, how great the opportunities are for us.
Andrew Semple: Great. Great.
Hadi Abassi: Thank you.
Andrew Semple: My second question here would just be on growth margins in the quarter. It was good to see those come in where they were. I believe just a few months ago the management team was cautioning about margins potentially remaining softer like we saw in the first quarter, for the Q2 period. I know this is your first quarter, with LCF for the Q2 period. Were you perhaps being a bit cautious with the margin outlook, given you haven't operated LCF during the second quarter previously? Or were there some fundamental shift in market conditions that, allowed you to capture some additional margin opportunity that, maybe you weren't anticipating a few months prior?
Hadi Abassi: It's actually in terms of margin this year and aggressiveness in our industry, this is not a good time. This is not for fainted heart. People are at business time, because the market is very, very competitive. After the increase in interest rate, and of course we had such a crazy demand in year 2022, nothing ever stays up like that. So the - most of the market starts everything went down. The market is very, very aggressive. The competition is very aggressive and usually that means lower margin, cheaper product to sell. The lumber has been cheapest ever I've known. So, it is a huge challenge and I am absolutely proud of our team there, how they have been able to deal with the market condition. But trust me, it's not a nice fight out there. But we are fighters too. We have been able to deal with the market condition and we have been able to make a healthy profit. And we will continue doing that. We're going to be moving forward this year, and maybe even next year. We have learned something new. We have a huge power in buying power and a sales force and design. We're going to remain being aggressive, and defend our market share and go after actual market share. And we're going to manage, what we manage our margin and the bottom line. And maybe even, we will not look at the percentage of the margin. We will look at how many thousands of dollars, we're going to make on each job. And then, we're going to increase the EBITDA, and we're going to increase our revenue, whichever way we can. And what I like about it, is that's the area we control. We control our efficiency. We control what we can sell. It's our choice to say yes, we want that job or not. And it's our job to control the efficiency, how we manufacture it, how we deliver it, how many pennies we save. And we control how we buy it. And those are within our control. Everything else, interest rates, competition, anything else, we can't really control that. What we started to learn is, what we control within our environment and our business. And last Q2, was an amazing indication how we can produce it. It was a great confidence booster for me, and for the team. That hey, we have the power and we control it. And we're going to maintain becoming aggressive, and more aggressive in the marketplace. We are not going to let - allow competition come and just take our clients away, or even our market share away. We're going to defend it with our lives.
Andrew Semple: That's very helpful. Appreciate the color. And I'll get back into queue. Thanks, Hadi.
Hadi Abassi: Thank you.
Jake Bouma: Thanks, Andrew. And thank you, Hadi. So there's no more analyst questions. That means this is the mark of our - end of our question-and-answer session. So for those of you who may still have questions, we'll be available post call to answer any of the questions you may have, either by email, phone call or go to our website. And then on the bottom there, you can actually submit your question directly to us. And yes, thanks everybody, for joining the call. And at this time, you may now disconnect.
Hadi Abassi: Thank you. Thank you, everybody. Have a wonderful day.